Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to Enfusion’s Third Quarter 2022 Earnings Conference Call. At this time all lines have been placed on mute to prevent any background noise. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Ignatius Njoku, Head of Investor Relations to begin.
Ignatius Njoku: Thank you. Before we begin, I’d like to remind you that today’s call may contain forward-looking statements. These forward-looking statements are subject to numerous risks and uncertainties, including those set forth in our filings with the SEC and are available in the Investor Relations section in our website. Actual results may differ materially from any forward-looking statements we make today. These forward-looking statements speak only as of today, and the company does not assume any obligation or intent to update them following today’s call, except as required by law. In addition, today’s call may include non-GAAP measures. These measures should be considered as a supplement to and not as a substitute for GAAP financial measures. Reconciliation to the nearest GAAP measure can be found in today’s earnings press release, which is available on the company’s website. Hosting today’s call are Oleg Movchan, Enfusion’s Interim Chief Executive Officer; and Steve Dorton, Enfusion’s Chief Financial Officer. With that, I’d like to turn the call over to Oleg to begin.
Oleg Movchan: Good afternoon, and thank you all for joining us today to discuss our third quarter 2020 results. I’m delighted to be here speaking with you in my role as the company’s Interim CEO, and I’m honored to have received the confidence of the Board to lead Enfusion. First, let me introduce myself. I’m a founding investor in Enfusion and have been on Enfusion’s Board for over 10 years. I’ve also worked with the company in multiple capacities for more than 13 years. Since my appointment as Interim CEO, I’ve been focused on engaging with our clients and employees for town halls, virtual and in-person meetings. That the more time I spend on the day-to-day operations of the business, the more I appreciate the talent and experience of our team with the strength and depth of Enfusion’s talent pool that gives me the utmost confidence that we’ll continue to deliver innovation in the rapidly changing investment management industry. Stepping back for a moment. Since the first time I was introduced to Enfusion, over a decade ago, the company’s vision and determination to achieve this vision have been unwavering. The vision has always been to transform the investment management industry with our cloud-native technology and product-driven service. The ultimate outcome of this transformation for our clients would be reduction of operational inefficiencies, cost effectiveness and ability to focus on enhancing the investment process and generating alpha. Currently, we’re focused on building our top-notch client experience across onboarding, implementation, support and managed services. Excellent customer service is foundational to the way our clients experience Enfusion technology and serves as a critical components of our overall strategy to expand our footprint in the institutional asset management segment. Our focus on quality services and support continues to differentiate Enfusion from our competitors. As you know, I’m currently serving as Enfusion’s CEO on an Interim basis. The Board’s top priority is to recruit the next permanent CEO. The Board has retained an executive search firm and is currently reviewing a number of high-caliber candidates with terrific backgrounds and strong leadership capabilities. As the search continues, the Board is looking for a CEO with strong leadership skills and deep experience in scaling high-growth SaaS businesses, with focus on product excellence as a foundation of delivering superior client services. We’re convinced that the strength of our brand, execution records and the tremendous growth opportunity in front of us will attract high-caliber executive talent that will lead the company towards its next stage of evolution. I’m extremely excited by what the future holds. We’re executing against our strategy of moving upmarket, unlocking new adjacencies and expanding our global footprint. We have the momentum to continue generating strong top-line growth, while maintaining healthy profitability. As you have seen, our results this quarter demonstrate that investment managers continue to embrace the cloud-based digital transformation. As a result, we continue to extend our leadership position as the industry replaces outdated and disjointed legacy systems with our superior software and the service offering. Now, let’s turn to third quarter results. We are pleased to report another strong quarter as our execution efforts to maintain momentum. Revenue grew 35% to $39.2 million, reflecting continued demand for our products and services. Adjusted EBITDA was $5.4 million, including CEO transition costs of $670,000, which represents a margin of 13.9%. During the third quarter, we generated ARR of $158.7 million, which represents 33% growth year-over-year. This growth was driven by strong sales execution and client adoption across all our product capabilities and managed services. The ongoing durability of our business is reflected in healthy net dollar retention of 116.6%. Including involuntary churn, the NDR was 112.7%. Our healthy net dollar retention and strong ARR growth underscore the durable and resilient structure of Enfusion’s financial profile. In addition, we signed 43 new clients this quarter, ending the quarter with a total of 810 clients. We made material progress with larger investment managers as we signed another seven-figure deal in the quarter. We further penetrated the large institutional fund manager market by signing eight new institutional asset managers, half of which were conversions. Despite the market volatility and perhaps because of it, we see ongoing strength in conversions, which accounted for 60% of new client wins in the quarter. Now, let me discuss several new latest client wins that demonstrate our continued sales momentum. In the Americas, revenue again grew 33% year-over-year, driven by broad adoption across all our products. I’m excited to announce that we signed another seven-figure deal with a well-known multi-billion-dollar New York-based family office. The family office invest in a wide variety of strategies and asset classes, including public and private equity, fixed income, credit, currencies and commodities. The fund manager was seeking to replace its front, middle and back office capabilities that consistent of a combination of complex and health systems in disparate legacy vendor solutions, which resulted in manual and cumbersome processes. A testing yet again to our core value proposition by selecting Enfusion, the client significantly streamlined workflows, reduced operational risks, and increased efficiencies. As a result, the family office is better able to meaningfully reduce overhead costs, as well as lessen the burden on their internal resources. We’re extremely pleased with this partnership. Not only does it demonstrate our ability to win larger and more complex clients, but also validates the strength of our product offering. In EMEA, revenue grew 41% year-over-year this quarter. We had the record bookings level in the quarter and for the region with strong double-digit growth. I’m pleased to announce that Enfusion has won on a London-based multi-billion-dollar family office. This client employs multiple strategies, including private equity, credit and public equities. In this competitive takeaway, our fully integrated end-to-end solution, including portfolio management system, order and execution management system, and data analytics are replacing the client’s front, middle and back-office technology, which was pieced together from disparate vendor solutions in an obsolete homegrown system. They selected Enfusion because of our cloud-based technology and its ability to streamline workflows. As a result, the investment manager drastically reduced the total cost of ownership, while creating an opportunity to reallocate resources towards the investment process. Now turning to APAC. We grew revenue by 35% year-over-year as we continue to see healthy demand in the region. I’m excited to announce that we entered into an agreement with the Hong Kong-based Alternative Investment Manager. The investment manager was seeking to replace its 10-year old provider with a robust cloud-based technology platform that supports compliance requirements in new features like mobile delivery. By partnering with Enfusion, the manager adds more functionality, materially reduces the technology footprint and significantly improves productivity at a considerably lower cost. Finally, I’m thrilled that Apex Group selected Enfusion to deliver middle office services to its global fund administration client base. This win represents another example of Enfusion’s continued global expansion beyond our core market segments and exemplifies our revenue diversification strategy. Apex Group will utilize Enfusion for cash and position reconciliation, corporate actions processing, trade affirmation, shadow NAV calculations and reporting. We’re excited to align with Apex to serve their global clients and look forward to our share of growth. Turning to product and technology. We rolled out more than 480 features and enhancements for our portfolio management system and OEMS. Our ongoing focus on expanding our API-driven technology stack and open-end data and analytics architecture allows us to drive efficiencies and scale. This framework gives our clients the flexibility to leverage Enfusion platform and develop their own proprietary customization and integration capabilities. Notable enhancement this quarter include the improvements of our API technology to support corporate actions to reporting, enhancements to OEMS compliance and support for listed and OTC securities transactions. We have also launched a new column feature for OEMS, which helps into bagging order tickets. Innovation remains a key pillar of our success and sets us apart from our competition. The breadth and depth of our platform, as well as fast pace of product development and system upgrades, allows us to maintain our competitive edge and expand our moats. We’ll continue to win in competitive situations where differentiated technology capabilities matter to our prospects. Enfusion will remain focused on sustaining such competitive edge going forward. Now let me briefly comment on the market dynamics. The simultaneous and precipitous decline in both equity and fixed income markets, rising inflation and macroeconomic and geopolitical uncertainty are causing the industry yet again to reexamine its investment processes and business models. Although we see a decrease in hedge fund launches, the number of hedge fund closures remains moderate by historical standards. While we expect this uncertain environment to persist, we believe our business is resilient as we continue to see strength in conversions as a result of industry focus and digital transformation and shift away from outdated legacy systems to cloud-native, integrated solutions. In fact, we have seen this environment play out several times during Enfusion’s history. As AMs come down and performance delivery becomes more challenging, investment managers tend to question the cost effectiveness of the status quo technology infrastructure. Such setups historically presented the broad opportunity set for Enfusion as a go-to-partner, displace an expensive and unstable technology stacks. Additionally, in such in certain market environments, asset allocators tend to emphasize alternative investment strategies over passive exposures, which falls squarely within our core and adjacent addressable market segments. Our healthy conversion pipeline supports growth opportunities similar to what we saw in the past. As we improve our value proposition and win larger and more complex clients, we expect our revenue mix to continue to shift towards conversions. Finally, I’m happy Enfusion is increasingly recognized as the leading software provider within the financial technology industry. It’s one testament to our industry standard. Enfusion was once again included in IDC’s Financial Insight, Top 100 FinTech list. In conclusion, we delivered solid third quarter results, driven by ongoing sales momentum, strong bottom line and broad adoption across all products and managed services. Our ability to deliver high revenue growth with an attractive profitability profile speaks to the strength and durability of our business and consistency of strategy execution. To that end, I’d like to thank all of our employees for their hard work, dedication and passion for our brand. Our team demonstrated once again that Enfusion is laser-focused on executing and delivering outcomes for our clients at the highest level. By the same token, I’d like to thank our clients for their trust with their most sensitive and mission-critical operational capabilities. I will now turn the call over to Steve to discuss our financials.
Steve Dorton: Thanks Oleg, and thank you everyone, for joining us today. We are happy with our performance in the third quarter. We continue to see broad adoption across product lines and across customer segments. This reinforces the revenue growth opportunity we continue to see in our business. In the third quarter, we generated total revenue of $39.2 million, an increase of 35% year-over-year. We made good progress across all product lines and delivered a solid financial performance. Recurring revenue was up 33% year-over-year to $38.5 million. Third quarter ARR or annual recurring revenue was up 33% year-over-year from the year ago period to $158.7 million. Net dollar retention, excluding involuntary churn was 116.6% compared to 125.9% in the year ago period. Net dollar retention, including involuntary churn was 112.7% compared to 122% in the year ago period. The sequential decline in net dollar retention was driven by challenging prior year comparables. We signed 43 new logos in the third quarter, ending the quarter with 810 total clients. Third quarter gross profit increased by 30% year-over-year to $27.2 million, which includes $406,000 in stock-based compensation compared to gross profit of $21 million in the year ago period. Third quarter gross margin was 69.4%, including stock-based compensation compared to 72.1% in the year ago period. Income from operations was $2.9 million for the third quarter compared to $4.9 million in the year ago period. Third quarter income from operations includes stock-based compensation of $833,000 and $670,000 in CEO transition costs in the quarter. Adjusted EBITDA was $5.4 million in the third quarter compared to $6.3 million in the year ago period. This represents adjusted EBITDA margin of 13.9%. Third quarter adjusted EBITDA was above our expectations, driven by expense management and cost efficiencies. We remain committed to prudent management of our cost structure as we continue to grow our business. GAAP net income for the third quarter was $2.6 million, which includes $833,000 of stock-based compensation as compared to $3.3 million in the year ago quarter. We ended the quarter with $63.5 million in cash and cash equivalents. As discussed in previous filings, in October, we issued approximately 1.4 million shares to former holders of award units and a non-executive employee. Including these shares, a total of approximately 18.6 million shares will be distributed prior to October 20, 2023, in one or more additional tranches. Finally, let’s turn to outlook for the fourth quarter. Let me briefly comment on our updated Q4 guidance. Given that we are operating in an environment of greater market volatility driven by macroeconomic and geopolitical uncertainty, we are seeing some reductions in hedge fund launches and a more measured approach in client purchasing behavior. As such, we are taking a more prudent approach to our fourth quarter expectations. Based on current business trends, we are narrowing the range of our full year 2022 revenue and adjusted EBITDA outlook. For the fourth quarter, we expect revenue to be in the range of $39.5 million to $40.5 million, which represents 26% growth at the midpoint. We anticipate adjusted EBITDA to be in the range of $5.5 million to $6 million, representing an adjusted EBITDA margin of 14.4% at the midpoint. For the full year 2022, we expect revenue to be in the range of $149.3 million to $150.3 million, which represents 34% growth at the midpoint. We expect adjusted EBITDA to be in the range of $18.1 million to $18.6 million, representing an adjusted EBITDA margin of 12.2% at the midpoint. For modeling purposes, we expect CEO transition expense of $300,000 for the fourth quarter. We also expect stock-based compensation of $4.7 million for the fourth quarter. Despite the challenging environment, the increased market volatility encourages investment managers to reexamine cost effectiveness of their legacy technology infrastructure. This creates a broad opportunity for Enfusion conversions, similar to what we have seen in the past. We continue to carefully monitor the current and long-term economic conditions to understand possible impact of our business model and future projections. To summarize, we are very pleased with our business performance in the third quarter. The fundamentals of our business remains strong, and our business model is durable despite market volatility. We have built a leading cloud-based end-to-end investment manager platform, and we have the momentum to continue generating high growth and profitability. With that, we’d like to open up the call to questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from Kevin McVeigh with Credit Suisse. Kevin your line is now open.
Kevin McVeigh: Great. Thank you so much and congratulations on the results. I want to start, you gave some really, really good context around seeing different cycles, things like that. I wanted to try to get a sense of the environment we’re in, what do you – is there any way to think about what the most parallel kind of the time period would be in the past? I just kind of wanted to start on that, if we could.
Oleg Movchan: Sure. I would probably compare it to a couple of periods that Enfusion sort of existed, right? So post GFC, global financial crisis, so 2008, 2009, 2010, then 2011 through 2014, and then I’d say, the situation around COVID, which basically came to a screeching halt, which, by the way – when COVID broke out, we essentially froze our entire hiring process for like a month or a quarter to quickly realize that it was a mistake, and we kind of restarted all again. And so what typically happens is, of course, people start tapping the brakes, hedge hung launches, either stall because investors had committed capital, they kind of don’t follow through on their commitment and it was especially acute, as you probably remember in 2008, 2009, of course, similar stuff happens in private equity world, where LP is simply withdraw the commitments as well. And what typically happened in the past with us, and I have no reason to expect anything different going forward is, despite slower launches, the larger, more complex clients, both hedge funds sort of enterprise clients that run $1 billion plus type AUM. They typically look to not just stay alive, but in general, optimize their costs. So they immediately – the first thing they do is to look around and see where they can cut costs and kind of streamline their operations. And this is where we come in. So in a way, our business has been relatively convex to the downside when things like this occurred, and we were able to sort of demonstrate our total value proposition, replace all the disjointed systems, streamline the workflows and really allow people to reposition their workforce as well, right? To the extent that the fund – until recently we even could not pass through the expenses to the investor for the investment management company that was a big burden. So, we’re seeing the same thing again, except, I guess, what’s different for us now is that the overall proportion of our revenue is much more heavily tilted towards conversions, right, to a larger, more complex clients, they typically take a bit longer to assess, to land, to align with, to identify functional gaps. And once this is done, we’re kind of all good to go. But so that shift away from, in a way, finding startups, which what hedge fund launches are to be – to partnering with more mature organizations, we think will provide additional downside protection for this business, if you will.
Kevin McVeigh: That’s super, super helpful. And then just one quick follow-up, if I could. It looks like the OEM bookings were 32% of total in the quarter versus 44% in Q2. I guess trying to understand what drove that delta?
Steve Dorton: So that is typically from quarter-to-quarter as we have the bookings, it’s more in line with the clients and the types of clients that are actually signing in that quarter. And so overall, all of our clients, approximately two thirds of our clients are utilizing our OEMS platform attribute. And so that we don’t really look at on a quarter-over-quarter basis. It just occurs as those new clients are joining.
Oleg Movchan: Yes, I would echo that. Kevin, it’s – the ultimate proof is in the pudding, the – our ability to both sign and implement OEMS in a time-efficient manner is our focus. And we do see sort of prevalent utilization of OEMS and EMS capabilities by institutional investors. That’s kind of a must in a way and we consider it as such. And so it will maybe be up, down, but the overall trend is definitely up in terms of OEMS subscriptions. We do – as you know, we don’t typically position the platform in a piecemeal fashion. So, we don’t just sell OEMS or don’t just sell portfolio management system, although sometimes palter in the market for that kind of functionality and which is okay. And once we sort of land and we sell or we partner on one side of our value chain, like portfolio management system and clients at the time, use some other third-party OEMS solutions, which we integrate with almost all of them. Over time, it’s almost inevitable when they have to ask themselves the question, why do we need all of that and then they kind of revert back to our OEMS. So yes, it’s important for us to look at the dynamics of OEMS bookings and conversions, more importantly than bookings in my mind, but that’s just how the business sort of operates nowadays, if that makes sense.
Kevin McVeigh: Certainly. Thank you so much. Very helpful.
Operator: Thank you. Our next question comes from Gabriela Borges with Goldman Sachs. Gabriela your line is now open.
Unidentified Analyst: Hi this is Kelly [indiscernible] on for Gabriela. Congrats on the quarter and thanks for taking my question. So far, we’ve been pretty impressed with the durability of the hedge fund market. You talked about the lower hedge fund launches. But are there any other noticeable pockets of weakness or strength either by size of fund or type of fund?
Oleg Movchan: I would say, yes, what we’ve seen in the last three to six months is that investors tend to allocate capital to much more stable, much – what people tend to call multi-manager platform. Some of them are our top clients, they are favorite clients of ours, which kind of plays to our strength when the investment management platform has multiple, what I would call, risk-taking units, portfolio managers, so portfolio management teams on the platform. And then they need to have a holistic view on the entire risk in entire P&L, as well as the risk and P&L of each unit. And so that’s what I see the business and the model of [indiscernible]. I think large capital, you know all these players that typically have become successful over time, Millennium and all the way down. And this is where we find most of our opportunities where the system feeds really well, because it’s sort of like LEGO business, if you will, we can service each unit on a stand-alone basis, but we can then service the entire enterprise and scale as both up and down if some teams leave and then other teams expands and an entire business expand, we typically have capability to grow with the clients that way. And I would say, from launches perspective, that’s another interesting source, source of launches where larger platforms like you know the list, Elliot and some others, a portfolio manager becomes successful for one reason or another. He decides to go on their own, and that’s another source of capital that is a – that the Radian and other source of launch.
Unidentified Analyst: Great. Thank you. That was super helpful. Just as one more follow-up. How is the initial traction been with the Enfusion Express product? And then how does sales efficiency at this lower end of the market compared to the rest of the business? And then just kind of in that same vein, how is the momentum of the product relative to your initial expectations?
Oleg Movchan: Great. Thank you for the question. So we’re still evaluating Express. I feel it’s too early to draw any kind of conclusions. I think that one reaction when I kind of did a deep dive into the product is that the ability – the desire and ability to respond to that sort of "lower market" that is looking for strip down functionality. What we shouldn’t be doing, I think is, we shouldn’t be selling our systems short, and providing just so little functionality that it doesn’t really capture the full benefits of what the system can do for the customer, right? So the balance then becomes how do we work with our distribution partners on one hand and what kind of commitments related to support both the distribution partners and Enfusion can make so that becomes economically feasible for the target market that makes sense for us commercially as well. And so I cannot sit here in a straight face and tell you this is all figured out. It’s still work in progress, and we’ll update you, hopefully, next quarter once we dial things in and make it a later type.
Unidentified Analyst: Great. Thank you for the details and congrats again.
Oleg Movchan: Sure.
Operator: Thank you. Our next question comes from James Faucette with Morgan Stanley. James, your line is now open.
James Faucette: Thanks very much. Just a few questions on bookings and directional trajectory right now. I guess maybe first – let me ask the question in this way. Can you give any color on sequential deceleration we saw in conversion as a percentage of bookings in the quarter? Is this just kind of the pause that you’re alluding to? And how should we think about conversions as a percentage of bookings kind of going forward? What do you think that sales cycle’s going to look like?
Steve Dorton: We continue to see a majority of our new bookings or conversions and that really has started in 2021 and in 2022 and we continue to see that going forward. And so one is we’ve moved to a resilient client. We are still working and continuing to add on launches at new clients. But we are seeing opportunity with conversions and we’re seeing as conversions come on, the attributes that they are taking on more and more of the platform itself. And so continues to be a vast majority of our new clients that we’re adding on quarter-over-quarter.
James Faucette: Got it. And then separately, it looks like at least from our calculations that ARPU growth helped to offset kind of a slower rate of new logo additions. How should we think about the forward mix of logo growth versus ARPU growth and kind of what in particular is driving that ARPU change?
Oleg Movchan: I think it’s probably – I would say it’s probably focus. We try to make sure right now like in terms of bookings themselves from tactical perspective not necessarily from strategic perspective, right. I would prefer – everything else being equal, I would prefer a lower number of bookings if that lower number of bookings is actually high quality bookings and I can spend hours to define what that means. But in general it means much better product, client fit from Enfusion’s perspective, functionality fit and our ability to deliver value to the clients while sort of keeping the layer of the value-added to ourselves and generate return on equity, right. And in fact the paradigm that I’m trying to establish at the company really has to do with upfront understanding, right of how each potential clients given their needs, how we can respond to their needs both in terms of product capabilities and in terms of services they provide which by the way this is what we’re increasingly seeing. The larger and more complex clients, especially institutional clients, that have both sort of long-only passive traditional investment management capabilities and what people typically call liquid alts or multi-strategy flexible and absolute return type businesses. They increasingly want not just software, but they want, call it, wide glove continuous dedicated support teams that really know them soup to nuts. They know the client really well, they’re expert in our product and they can provide that ongoing support 24/7 in a timely, thoughtful and pertinent level, right. And so this is ultimately what conversions are all about and that’s why we sort of take time to make sure we perfect that combination and we perfect the combination of client services with the product that is targeted to those conversions. And so in a way, that’s kind of a term that we’re trying to use at Enfusion, which is where being sort of labeled as a SaaS company, which is software and as a service. But what we really are selling and how those large institutional clients are experiencing us is software and service, right. And so that understanding, that paradigm is what’s helping us to actually win those conversions.
James Faucette: Appreciate it Oleg. Thanks.
Operator: Thank you. Our next question comes from Parker Lane with Stifel. Parker, your line is now open.
Matthew Kikkert: Hi, this is Matthew Kikkert on for Parker. Thanks a lot for taking my questions and welcome, Oleg, to the team. First, what are some of the changes that your team has made since you joined as CEO? Do you think any of those might lead to an increase in the efficiency of go-to-market motion over time?
Oleg Movchan: Yes, I would hope so. The biggest change I made, which was my top priority after I had a chance to stop being, what I would call goalie during a warm-up in a hockey rink kind of really had a chance to breathe and understand what’s going on. I kind of quickly realized that the top priority tactically not strategically, but tactically is to really step up and improve our client services experience. So to that extent what we’ve done is we really redesigned the entire workflow, okay and we did it by the way not just in isolation, right. We had a very deep dive globally. We had a townhall with input from all our key stakeholders from EMEA, from APAC and from U.S. We aggregated that input, we synthesized it and it resulted in what we believe state-of-the-art client services architecture that really addresses deficiencies that Enfusion we believe that I strongly believe Enfusion had previously, which really revolving around traditional process when sales and solution engineers design a solution, they close a sale and they just hand it over to onboard and implementation and product. And then from there, new people show up, that don’t necessarily have a nuanced and deep understanding of what clients’ requirements are. And then from there once implementation is over, the client is then handed over to technical account management. And so during this process, a lot of client-specific knowledge is lost. And so what we’ve done is we created the structure where onboarding and product are involved very early in the solution engineering process and in the sales process in a way where there is really no handover process. The client upfront knows exactly the team that is going to implement them, that is going to onboard them and technical account management team is involved precisely at the same time. So by the time the client is live, the same technical account team that played a key role in onboarding is going to continue to support that client going forward. So essentially we eliminated these gaps that exist in handoffs from one stage like client’s journey to the very last stage when client is live and of course things happen in real time. We have a very talented technical account management team that is now getting their feet under them and really responding in a timely and effective manner, like I said thoughtful and timely manner to, back to the clients. And so that’s in my mind was that priority tactically. From a strategic perspective, it’s all about the product, okay. Enfusion since inception was product-centric, product driven, we have best-in-class technology platform. And as we grow, the top priority is for us to make sure that the technology is viewed internally and externally as a centerpiece of the heart and the brain of Enfusion’s organization, right. And to that and we, whatever investments we are going to make over the next 12-months, we will accentuate the product as much as we possibly can and then we’ll accentuate client services because this is, from my perspective is the highest return on equity we can possibly generate for the shareholders. And from technology perspective, I’m not just talking about fill in functional gaps that we currently see with our current clients. It’s also innovating and anticipating certain things that we know today, that institutional investor, investment managers need like for example, some nuance compliance logic during the process of order management and execution management order allocation. There is a slew of examples there. And at the end of the day, those are kind of technical and strategic product capabilities. But also we need to prepare the system to become more scalable and more robust, more resilient so that we can start processing mill and trade the day, so that we can start supporting clients that have hundreds of thousands of accounts and manage hundreds of funds with model portfolios, with flexible allocation schemes, with very sophisticated compliance rules. And those are the things that will really cement our position and with upmarket.
Matthew Kikkert: Got it. That’s very good. And then secondly, I’m curious if you’ve seen any uptick in clients wanting to adopt managed services, maybe if they’re potentially trying to run leaner in the wake of tighter macroeconomic conditions. What does the traction look like for managed services and where does that fit into your strategy going forward? Thank you.
Oleg Movchan: We did and unfortunately I don’t have the number in front of me right now. Maybe Steve can help. But I think we have about 15% now of overall revenue. It was like single digits just like two, three quarters ago, Steve can confirm the numbers. But it’s about 15%. I’m obviously being cognizant of the profit margins on it, which is again I’m going back to this whole concept of us being very thoughtful of clients that we are onboarding not just in terms of the revenue we’re bringing in the door, but which is the numerator, right. But what is the denominator? How much it will cost us to support the client, right? What is the return on capital? What is the return on our time? And is it adequate to actually give the client the best possible value that they’re asking for, right? And so managed services is a big part of it. Now after this restructuring that I described, managed services are squarely sitting within overall client services. But in some very direct way, it’s more or less like a stand-alone self-sufficient business unit; you can look at it this way. And in fact we have an interest in potential client in the pipeline, who came to us specifically, it’s not an upsell or anything like this. This client, a multibillion-dollar player, they just came to us specifically for Managed services. That was their explicit ask. We are going through a proof-of-concept, it’s going very well and I’m excited to see if we can perfect that model and then scale it and scale it not just with this client, but scale it through and then really deploy the same model globally.
Steve Dorton: And if I could, a clarification. So in September of 2021 we had 14% of our clients who were actually using managed services. Today it’s at 15%, but we are seeing significant growth in our revenue overall and we’re seeing more and more those conversations are happening while they’re in the pipeline and while we’re looking at closing those clients and continuing to happen as more of our existing clients are adopting that as we go forward. And so today, it creates a great opportunity for some of our conversions to really kind of lower their total cost of ownership by using our managed services.
Oleg Movchan: Right, and in my mind, that’s a logical extension to what we do. By the way, Apex partnership has a similar – you can think of it as the same way. We’re sort of providing the engine for them to perform their managed services and our services are no different. We just don’t have this kind of intermediate layer. We just kind of tap into their client base and directly, if you will. But in general, our managed services should be thought as product-centric. Without our product, the way we service our clients in that kind of format, we just wouldn’t be able to do that. So again just going back to the philosophy and positioning; product first, everything else revolving around it. Every single person on the client services team is super technical, product expert. We’re doing a lot of work internally to make sure not only we hire the right talent, but we are putting a lot of effort in making sure this talent has been properly educated, trained, onboarded. Spent a lot of time and effort over the last three months, creating the knowledge base, educational program for our employees globally from India to London to Dublin to Hong Kong and Singapore to make sure everybody speaks the same language. There is a knowledge base online that really covers basic fundamentals of capital markets infrastructure, capital markets in general, financial instruments as well as overall Enfusion’s capabilities at a very deep level. And the ultimate idea is to actually have this knowledge base and potentially open it up to our client base, so that we actually become partners with our clients and actually teach them how to fish and make sure that whatever tasks are possible to do by them themselves, they can do and of course we’ll be there to catch whatever is falling through the cracks.
Matthew Kikkert: Terrific. Thank you very much.
Operator: Thank you. Our next question comes from the line of Koji Ikeda with Bank of America. Koji, your line is now open.
Natalie Howe: Hi, this is Natalie Howe on for Koji. Congrats on the quarter. You mentioned that EMEA had record growth, which is great to hear. How would you characterize the demand environment within your different geographies and do you anticipate that strength in EMEA to be sustained?
Oleg Movchan: Yes, EMEA for quite some time has been sort of a, for the lack of better analogy, a better child. We, the APAC has been growing at incredible pace and I think that growth will slow down, but it still will be one of the leading growth engines for us controlled for whatever geopolitical issues we may see in China, Taiwan and Hong Kong, which we by the way are monitoring very carefully. Our team and corporate development team is actually tasked to make sure we have ear on the ground there. And we’re working on sort of contingency planning to make sure if something happens God forbid, we have redundancies and we can move the team to a safe location to Singapore to make sure that of course first and foremost, team members are safe and second, our services to our clients uninterrupted. So it’s one of the reasons I think marginally that area will probably slow down. However, to somewhat compensate for it, we do see some opportunities in places like Japan and Australia, which by the way challenges our system capabilities. Like in Australia there was a lot of institutional clients that have interest in our system, but we frankly lack in some of the nuances that are typical to that market, which by the way we are very, very good at that. We’re very good at sort of zooming in figuring out what are the – regional specific or region specific technology and functional requirements. We’ve done it in Brazil, we have done it in Hong Kong and we are going to do it in Australia as well. So we’re going to execute on that and that becomes – however small that nuance is, it typically becomes a tipping point for clients to actually engage with us. And so APAC has been growing, but I think it, we need to sort of diversify away from sort of Hong Kong, Mainland China, Singapore type region and go a little outside and see what’s possible in Japan and Australia.
Steve Dorton: And the EMEA really continues to grow at a really nice pace both year-to-date as well as this quarter as well. And so EMEA is continuing to grow at a very fast pace as we move forward.
Oleg Movchan: Yes. We are very hopeful that EMEA will reach its full potential and will operate at par with APAC and the U.S. and we see really positive performance from the team. I’m going to India in a couple of days, but London and Dublin is my next stop just to make sure that we’re all aligned and we capture the opportunity set as much as possible.
Natalie Howe: Great. That’s all from us. Thank you.
Operator: Thank you. Our next question comes from the line of Dylan Becker with William Blair. Dylan, your line is now open.
Dylan Becker: Yes. Hey, Oleg and hi Steve. Maybe to kind of double-click on some of the commentary I made on a prior question as well too. How much does the compliance side of things play into their decisioning, right? I’m sure there’s an evolving landscape that’s kind of handicapped especially within those larger institutional managers by those legacy tools. But how much of that pipeline momentum you guys are seeing is kind of driven by the complexity on the compliance to kind of standardize some of those operations?
Oleg Movchan: I’m not sure that the pipeline momentum is driven by compliance, but I will say that it’s definitely important for institutional client managers. Remember just I guess 10 minutes ago, I alluded to some of the EMS capabilities that are like really specific to the way institutional managers handle their orders. As you know, they have typically model portfolios and then they have relatively sophisticated allocation schemes out of this model portfolio across different portfolios that are client specific and have specific constraints that are specific to the particular client that actually owns those portfolios. And so sometimes it’s just one example, there is a slew of them. But oftentimes they tend to want to modify allocation scheme after the order is placed, which is not something we’ve been seeing in hedge funds. So this is just one example where this change in order allocation, what it actually does it trips the subsequent compliance check and compliance rules engine and so that sort of breaks the workflow that exists at Enfusion today. And we have a live client that we’re working on with to address this precise problem, which seems to be sort of universal across that layer of clients. And the list goes on, right so to speak. But compliance is absolutely important and we’re maniacally focused on it.
Dylan Becker: Got it. That’s helpful. And then maybe as you think about kind of some of the partnerships, I think you’ve announced a handful here in the last kind of couple of quarters, how should we expect this channel to continue evolving over time giving you maybe some incremental shots on goals and customer overlap. But what can this unlock from a customer perspective again relative to what you guys can kind of currently offer around that mission of unifying the front, middle and back office systems? Thanks.
Oleg Movchan: Okay. Great question. So just starting from the end. I think the like Apex partnership is sort of exemplary situation where we have potential to just leverage our core. This is something we do day-in and day-out, not much needs to be changed. They’re benefiting because they can rely on our system day-in and day-out to solve their clients’ problems. They just support it, it’s robust, it works. And for us the benefit is indirectly our technology is just sitting on top of – in front of their pretty extensive client base and then it potentially results in them buying our software and actually using it not just for middle and back office, but actually operate the entire – run their entire operating cycle. Some other partnership will include, you will see hopefully in the next quarter, things that actually relate to what our institutional clients as we see now asking for, which is relatively new to Enfusion. New as in our typical user is either execution trader that sort of pilots OMS/EMS. Our typical user is middle or a back-office operating professional that reconciles with trades, runs different back-office processes, runs shadow NAV calculations, operates in the world between prime brokers and custodians and the actual fund. And what we’re seeing increasingly, institutional clients want to put this system in front of the decision makers; PM’s, traders, investment managers. So what does that mean? So then you need enhanced analytics. If it’s relatively simple long-short equity or just simple long-short fixed income portfolio that is managed against the benchmark, right all of a sudden you need something like a standard, you name it. Barra, Axioma, Equity Data Science, Northfield; typical comprehensive multifactor risk model framework, where you can always slice and dice your risk, calculate value at risk, do performance attribution using factors, do risk attribution and this is what PM’s typically want to see on that front. And this is where we will try to partner with some of those businesses that actually have a great reputation, they have great systems. I myself used almost all of them in my previous career as a risk manager and I think it behooves us to focus on our product development because if we’re really – that’s kind of a last missing piece, if you will, as far as our target persona that we sell our system to. Because then PM puts a lot of pressure on all the processes that happened behind just to make sure that the picture he is looking at or she is looking at is airtight and consistent and actionable. And then the idea that after that tool is in front of them, they can then close the loop and from that screen and from that report start making and executing business decisions. We should take them right back into order management and execution management. And so the workflow becomes completely closed. Does it make sense?
Dylan Becker: Makes perfect sense. Thanks a lot. Appreciate it.
Operator: Thank you. There are currently no further questions in queue. [Operator Instructions] There are currently no further questions in queue, so I will pass the conference back over to Ignatius for any additional or closing remarks.
Ignatius Njoku: Thank you for taking the time to join us today. We appreciate your support and continued interest. We look forward to continuing the dialog and have a wonderful evening. Thank you.
Steve Dorton: Thank you all.
Oleg Movchan: Thank you all for your questions.
Operator: This concludes today’s Enfusion Third Quarter 2022 earnings call. Thank you for your participation. You may now disconnect your line.